Operator: Hello, and welcome to The Greenbrier Companies Second Quarter of Fiscal Year 2014 Earnings Conference Call. Following today's presentation, we will conduct a question-and-answer session. Analysts should limit themselves to only two questions until that time, all lines will be in a listen-only mode. At the request of the Greenbrier Companies, this conference call is being recorded for instant replay purposes. At this time, I would like to turn the conference over to Ms. Lorie Leeson, Senior Vice President and Treasurer. Ms. Leeson, you may begin.
Lorie L. Leeson: Thank you. Good morning, everyone, and welcome to Greenbrier's second quarter of fiscal 2014 conference call. On today's call, I'm joined by our CEO, Bill Furman; and CFO, Mark Rittenbaum. We'll discuss our results for the quarter ended February 28, 2014 and comment on our outlook for the balance of 2014. After that, we'll open the call up for questions. In addition to the press release issued this morning, which includes supplemental data, additional financial information and key metrics can be found in the presentation posted today on the IR section of our website. Matters discussed in this conference call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Throughout our discussion today, we will describe some of the important factors that could cause Greenbrier's actual results in 2014 and beyond to differ materially from those expressed in any forward-looking statements made by or on behalf of Greenbrier. The quarterly earnings of $0.51 per share are up $0.06 from the second quarter of 2013 and are sequentially flat with the first quarter of 2014 despite a number of headwinds during the quarter which were noted in our release. These same headwinds led to a decline in our aggregate gross margins of the quarter and are consistent with our comments in prior quarters that reaching our 13.5% minimum aggregate gross margin goal like Q4 will be nonlinear. Our gross margin goal of at least 13.5% by the fourth quarter is unchanged. With these headwinds now serving a tailwind and as is typical for Greenbrier, we expect a significantly stronger second half of the year. On the capital liberation front we reduced net debt by additional 75 million bringing the total to nearly 170 million over the last 12 months and our LTM net debt to EBITDA hit a new low of 1.4 times, down sequentially from 1.8 times at the end of the last quarter. In March, last month, we refinanced 125 million senior term debt secured by rail cars on lease with new six-year $200 million senior term debt increasing our liquidity to over 500 million. Our debt structure more appropriately ties to the assets on our balance sheet with more appropriate leverage on the lease rate and net corporate and manufacturing debt on a pro forma basis of only 54 million. You can find further detail on this in our supplemental slides posted on our Website. As part of our ongoing efforts to return capital to shareholders, to-date we have repurchased over 542,000 shares at a cost of about 22 million. We expect these share repurchases to continue. Now I'll turn it over to Bill.
William A. Furman: Thank you, Lorie. Good morning and thank you for joining our call. I want to start out by acknowledging the miss, however, I want to talk to a number of very positive forces which continue to act on the company and I think as Lorie has made it clear, we are still sticking to our goal on a 13.5% margin at the end of our fiscal year. Our second quarter reflected very solid progress on many fronts including a good book of new orders and a robust backlog. This is consistent with our strategy of diversification of product mix and net income for the quarter matched the strong earnings in our first quarter. That was a particularly robust quarter as a step-up and in our first half is significant that we booked operating income of about 73 million, operating cash flow of 67 million, almost double cash flow from operations compared to the first half of our fiscal 2013. In fact that is a very positive story for Greenbrier and as Lorie has referenced, our net debt declined by 75 million by bolstering the enterprise value available at equity by almost $3 per share. Our strong cash position was augmented post quarter by the refinancing of debt on favorable terms. It simplified our balance sheet allocating debt, as Lorie has said more appropriately before, between manufacturing and leasing. This is worth taking a moment and pondering. As noted in Page 9 of our supplemental information, these separate complementary businesses were made more transparent in their capital structures. The real headline in this is very clear. Our manufacturing business, the largest earner along with our other businesses and corporate, have pro forma net debt of only 54 million and annual cash flow net of normalized CapEx of considerably less than one year's cash flow from operations. This is a great place to be especially during a market with the best forward visibility I have seen during my career in this industry. Meanwhile our leasing business has total assets of 437 million, annualized earnings from operation of 45 million at the second quarter rate and an unleveraged return on assets, pro forma of just over 10% pre-tax, a respectable return. Leasing pro forma leveraged return on equity is close to 20% pre-tax and its leverage ratio is about 70% of total assets. This is a normal debt equity ratio for a leasing company. But the story gets better as far as leasing is concerned. Going forward leasing will be a net generator of cash, not a net consumer of cash due to its capital light strategy which is relatively new and we are executing on it. Leasing can grow rapidly with this strategy throwing off accelerating rates of cash flow after tax for the company over time. Leasing has considerable potential to add dramatically to its already positive present contribution to free cash flow and net earnings. With reduced levels of net CapEx, leasing will be a clear creator of free cash flow and not a net consumer of cash. Turning to the railcar market and market outlook, more positives are there. Our improved backlog has been driven by increased demand for railcars across most car types other than coal and center beams. Center beams in the forest product segment maybe emerging from the doldrums and boxcar demand is solid moving forward in the forest products area, a traditional area of strength for Greenbrier. The large issue facing the industry now is almost certain major safety-related replacement and retrofit needs for the older version DOT-111 tank cars constructed prior to 2011. As I said, I think this story is becoming very clear. At the end of calendar 2013, there were about 350,000 such DOT-111 pre-prescription or pre-2011 constructed tank cars in North America in service of which 150,000 approximately were in hazardous service. Setting that issue aside, growth in demand continues in the energy by rail space, including crude and refined products such as ethanol by rail and other car types which have been squeezed out by oil cars during the last few years need to be build. And keeping with our very bullish view about tank cars, we have expanded our tank car capacity at the same time making those tank car manufacturing operations flexible so they can be turned to other car types as this decade ends. The forces that I talked about coupled with a return to normalized demand levels across multiple car types and declining railroad velocity as the rail success story continues, all of this makes for a very interesting market story. The need is substantive and comes in the nature of a solid supply/demand shift opportunity and is likely to be sustained over many years. These circumstances should lead to margin enhancement and other opportunities for the next several years for Greenbrier. In Greenbrier's case at least our strategy has succeeded so that we are now in a position where we are having to turn away some customers and turn away from even some traditional car types because pricing is not as robust as we can get in the energy and other markets, but we will continue to follow a balanced approach and today tank cars are probably the lowest percentage of backlog of any car builder, something in the nature of 40%. But there are many other opportunities driven by downstream consequences of this energy renaissance in North America and global events recently in Europe. We have watched with interest Trinity's recent movements into natural gas capabilities and we agreed that this may be a large market for other transportation or related applications both marine and rail in the next two years. A new view of gas as an environmentally friendly bridge to the next generation of clean energy will drive natural gas opportunities and bring many potentially attractive applications. Overall orders of 8,900 units during and after the quarter were robust given the pent-up demand for tank cars and pending regulatory clarity. But that clarity is coming. The railroads have already spoken on this subject and the Canadian government within the last few days has made important pronouncements that drive the mandate that now the U.S. government has to deal with much beyond what the Class 1 railroads themselves have set and many shippers have felt that those are too tough, those standards were what we call the tank car of the future are too tough. But it's very clear that safety is necessary if we are going to run oil by rail and high velocity service in America, and while it is much more complicated that the tank car we have to respond to that and the industry has to respond to it because America's economy depends on the railroads ability and they are mandated to all this core product for the future economic growth in the United States over time. They can't do it and risk their entire franchise, so that's why we believe this demand curve shift is occurring. Turning to marine backlog, it grew to 70 million this quarter due to our previously announced 578 foot articulated oil and tank barge for Kirby Offshore Marine as well as three additional vessels and we continue to see robust movement there. The outlook for us I think is strong and steady. There are also opportunities in the areas where we have faced headwinds and where tailwinds are now developing. During the quarter and in the first half, our Gunderson manufacturing unit underperformed expectations by a significant margin due to lack of volume against those expectations. So we know the reasons why we are a bit under expectations and we see that these are being addressed. In the case of Gunderson this is now correcting as we ramp up double stack car production and marine production, we're hiring aggressively in Gunderson today and we expect Gunderson to return to expected performance levels. This was a large part of the miss for the quarter. During the second half, repair portion of the wheels, repair and parts segment has also been disappointing as the fix, close and sell efforts have been working through the process. Repair has been also a significant contributor to the financial disappointments in this segment during the half. While things are improving there, we will need to pick up the pace with this portion of our business and we are examining ways to increase scale in the tank car repair business to accompany our tank car manufacturing strategy which we've earlier spoken about and is mentioned in the press release. We need to adopt that strategy to support the tank car designs of the future. We expect better financial performance from repair and the segment in the second half and especially in our fourth quarter. On balance and conclusion we believe we will still meet our margin out of the expectations for 2014 and we're moving into the future competently, particularly in the rail and marine spaces where we believe we have considerable upside potential in 2015 and beyond. So, assuming we meet those goals that is not going to be as good as it gets. Our business strategy has been well suited to adapt changing market circumstances along with progress made in the last year in capital efficiencies, improving margins and cash flows, safety and a stronger balance sheet, we believe the future is very bright for all Greenbrier stakeholders. Back to you, Lorie or Mark.
Mark J. Rittenbaum: Thank you, Bill. Good morning, everyone. As Bill and Lorie have noted, we're excited about our future with the multitude of revenue growth and margin expansion opportunities. Our free cash flow and liquidity of over 500 million of cash balances in the undrawn lines of credit give us the flexibility to seize these opportunities. Indeed the investments that we noted in our release today that we are making in our manufacturing footprint and in our repair units are indicative of the type of opportunities that we're taking advantage of that will add many millions of dollars to our margin and EBITDA in the future both by giving us additional capacity on the margin but by, as Bill has noted as well, more efficient capacity, lower cost capacity and doubling our higher margin tank car business. Part of this capacity on the tank car side will take place in our JV facility and in part also will take place in one of our 100% owned subsidiaries down in Mexico as well. When thinking about Greenbrier in our forward momentum, we have found that some investors focus on EBITDA, they tend to think less about our free cash flow and the impact on forward-looking debt. When looking at our EBITDA – enterprise value to EBITDA multiples on a forward basis, obviously every dollar which we reduce net debt, it would create a dollar of shareholder value. Over the last year we reduced net debt by 170 million creating $6 per share of value on about 28 million shares outstanding. While we are not yet giving guidance for the next 12 months, we anticipate continuing to generate significant free cash flow. Last quarter, as Bill noted, we began disclosing segment operating margins, increased transparency and continue to provide more information on a segment basis including our capital structure to do this going forward. Because of the integrated nature of our business, certain costs including G&A expense are excluded from the segment and included in our corporate G&A, and all this is included in our supplemental schedules in the press release and in our 10-Q which will be filed later today. Looking forward our outlook for fiscal 2014 is unchanged. We expect deliveries to exceed 15,000 units, revenues to exceed 2 billion, EPS excluding restructuring charges to be in the range of $2.45 to $2.70 a share. Further, we expect continued gross margin improvement towards our fourth quarter goal of 13.5% and expect our third quarter aggregate gross margin to look closer to our first quarter than our second quarter. We expect our deliveries for the second half of the year to be slightly weighted more towards the fourth quarter than the third quarter. Gains on sale for the balance of the year to be between $5 million and $6 million and we could incur some modest additional restructuring charges of about $1 million over the next several quarters. This does not include non-cash gains or losses. As noted in our release, we still have some operations in our repair unit that are underperforming and we are confident that we're on the right track there. But we cannot reach acceptable levels or returns in these units and actually act on fix them to satisfactory levels then we'll reevaluate these units. We expect annual depreciation and amortization of about $40 million, a tax rate of 32% to 34% going forward depending on geographic mix of earnings. Our quarterly earnings attributable with our non-controlling interest to our Mexican JV GIMSA will likely be more similar to the first quarter than the second quarter. Given the capacity changes that we disclosed in our release today, our gross capital expenditures on a gross basis again will be about 100 million, 20 million higher than our previous guidance as a result of the manufacturing footprint changes we're making. Proceeds from the fix sale of lease, railcars, equipment will be about $60 million making net CapEx 40 million. And obviously with this guidance the second half of the year overall will be stronger than the first half, as is very typical for Greenbrier for those of you who have been following us for a long time. With that, we will open it up for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). Justin Long, Stephens, your line is open.
Justin Long: Hi. Good morning, guys. It was encouraging to see the order strength this quarter and I guess in the past month or so as well, but if I look at your delivery guidance for fiscal year 2014 it was unchanged. Does this mean a lot of the orders that you've received in recent months will be for delivery in fiscal year '15? And if you can, maybe it would just be helpful to hear how much of your current backlog is planned for delivery in 2014 versus how much is expected to be delivered in 2015 or sometime beyond that?
William A. Furman: Our order book this quarter was robust and we are booking out into 2015. That of course allows us to affect rates and improve rates, but I'll have Mark talk to some of the specifics here.
Mark J. Rittenbaum: Right. So, Justin, it's a good question and when we gave guidance for 15,000 units for the year or I should say in excess of 15,000 units for the year and you go back to our last earnings announcement, not all of what we've given guidance on was firmly in the backlog. So some of the orders that we received this quarter and subsequent to quarter end indeed round out our deliveries, round out our production for the fiscal year as a whole. So if you take the guidance that we're giving here and we're pretty much at our goal of 15 where we don't have any substantive polls for the balance of the year, so you can do the math if we were at a little over 7,000 units of deliveries at Q1 and we gave guidance of 15,000 for the year, then that implies about 8,000 units as a backlog or slightly less than that is this year, because we also have as you know what we referred to as railcars held for sale on the balance sheet. So, a little less than 7,000 of those would be for this year and the balance into next year and beyond particularly when you're relating to tank cars.
Justin Long: Great, that's helpful detail. Thanks Mark. I think my second question was on the wheels business and I was wondering if you can just talk about the turnaround in that segment and how you see that progressing the next couple of quarters and into 2015. Could you just talk on a high level about the best way to think about both the top line growth and the margins in that business as we go forward?
William A. Furman: And you're referring to our aftermarket Wheels, Repair and Parts business?
Justin Long: That's correct.
William A. Furman: I continue to believe there's opportunity for significant improvement there. It's a little bit like – we've acknowledged we've had issues there. It's a little bit like remodeling your house and assessing it during the midst of everything being in disorder. We had expected better performance frankly. There was sequentially improved performance in the quarter but there's a lot of noise in the repair side that has simply not met expectations and it was partially responsible for the miss in addition to the other things noted. Moving forward we think there is going to be a lot of demand for tank car repair. We're qualifying one additional shop but we would like to see something happen on a major scale to be able to respond to the marketplace there. At the same time, we have to just do a lot of blocking and tackling. So in the second half, as I said during our last quarter, our expectation is that this will turn around and not be a drag but will be positive. However, the timing of that has been off at least as demonstrated in this quarter. Having said that, I think the other areas that were mentioned, the Gunderson miss and some of the changeover issues that Lorie had talked to are also important contributors toward the quarter. But I continue to be optimistic we can turn this around. It's a valuable part of our franchise. So we – you have to stay tuned and – we know where the weakness were. We're taking very strong steps to remediate them.
Justin Long: But, Bill, you'd say overall – I mean you still feel comfortable with this business getting back to double digit margins, I think last quarter you mentioned maybe within the next couple of quarters or so. Is that still your view?
William A. Furman: The repair side of the business is the weaker parts and wheels will have difficulty getting to that and then a large part as well, but they can do it and in the repair side we definitely believe that that's the standard we're shooting for double digits but more – not just double digits, we would want to be moving that bar up into higher – even lower on the scale. So, we just have a lot of work to do and that includes base loading some of these factories, really weaning some of them out that are not performing and I'm optimistic that our team will get that done and that we can step up in that business and have some positive news.
Justin Long: Well, that's great and I think I just have one more question and then I'll pass it along. But on the tank car capacity that you're planning to add, could you just give a little bit more color on the timeline for that capacity coming on, the capital commitment for that capacity and then finally what gives you the comfort in adding more capacity for tank at this point in the cycle? Is it that you're more bullish on demand, is it more that you think there is going to be this boost from a regulatory change or phase out or a combination of both?
William A. Furman: Let me take the last part of your question first and I might share the other parts with my colleagues here. It's clear that there has been a significant demand shift in tanks due to the safety issue. The old idea of a peak in 2015 or late 2014 and pipelines pushing out oil by rail has not taken into account the strength of this energy renaissance. So we think that's a driver. But more importantly the tank car of the future that will replace capacity in these legacy cars with respect to the installed base where there obviously can be improvements with safety at any speed and some of these improvements could be applied in retrofits. If this is going to be a transformational thing, oil by rail has crowded out many other, more boutique application of tank cars and that's a source of demand. And then finally there is the velocity issue that's coming from many different areas which has transformed the demand curve, so it's on the supply side. We see a shrinking base in replacement on the older DOT-111 cars, opportunities for retrofit, high demand for services and a more robust traffic volume in oil by rail and then the knockout effects of this other stuff. So we just see this as a supply and a demand shift. We'll push the tank car demand out at least two more years from that which industry pundits were predicting six months ago. We are very bullish on how all of this will play out for tanks. Now on the CapEx and the other things that you asked about, on the CapEx itself we have three facilities in Mexico, we have one which is leased and we talked earlier about our desire to phase that our at the end of the year. That will make that footprint much more efficient, so that's a no-brainer type CapEx with very high ROICs as we're replacing a lease facility that's expensive and is a good way to deploy capital. We will add a line in that part of the network because we have plant 1, plant 2. We are building a plant 3 in the general area of Sahagun. And then at the GIMSA facility which is in Monclova, our primary tank car facility today we're expanding a line there. These are all bolt-on, so the CapEx is fairly efficient with high rates of return, a very good use of cash flow that we have coming out of the strength of a strong backlog. So, I think the rest of your question Mark you might want to wrap up on that.
Mark J. Rittenbaum: Yes, so Justin our total CapEx associated with this would be about $25 million, about 20 million of which we would spend this year and we would expect to start the tank production later this calendar year on one of those lines and then early 2015 on the other line and then about – be fully ramped up by kind of the year out from that.
Justin Long: Okay. That's helpful detail, I appreciate it, Mark. I think that answers everything. I know I have taken a lot of time, so I'll go ahead and pass it along. I appreciate it.
Mark J. Rittenbaum: Okay. Thank you.
Operator: J. B. Groh, D.A. Davidson, your line is open.
J. B. Groh: Hi, guys. Thanks for taking my call. A couple of quick ones. Is there any way to quantify the Gunderson changeover as well as you probably lost, I don't know, maybe a day, maybe two days of production there. Can you just look at that change in the production from Q1 to Q2 and sort of assume that that's pretty much all Gunderson?
William A. Furman: Actually our line changeovers occurred down in our Mexican facility, our Concarril facility in Mexico. We will be ramping up our production at our Gunderson facility both on the rail side and on the marine side in the second half of the year and marine particularly in the fourth quarter. But we really haven't quantified each of the pieces of line changeovers, the winter weather and the ramp up.
J. B. Groh: So all three kind of combined, okay, fair enough. And then on marine, can you tell us what kind of revenue got booked in marine in the quarter, because we saw the big Kirby order but can you give us maybe some detail on the size of the other three barges?
Lorie L. Leeson: Hi, J.B. This is Lorie. Revenue for the second quarter was fairly similar to the first quarter. Again, we didn't have much of a ramp up or much going on in marine during the second quarter, so fairly minor I'd say on the $5 million range. The other three vessels that were booked into backlog in addition to the Kirby order were smaller, a couple of I think 4 by 1, 400 by 100 foot – Bill you may have more specifics on the backed vessels, but…
William A. Furman: Right. So we don't want to breakout what the value of those are because obviously that would lead one to back into the value of the Kirby margin. We prefer not to disclose that. But we have very robust marine quotation activity in terms of marine demand, so we will have a change for margin enhancement there. We believe also in the rail side. We're now seeing a luxury of being able to be more selective about pricing and the kind of products we want to absorb. These ATB units should be, once we get the learning curve on them and the first one, we believe back on orders to that line is very efficient. But we also have the capacity at marine having put CapEx into it a few years ago, we have a capacity that will be very flexible and take the smaller barges too. 400 by 100 barges or 300 by 100 barge sounds small, those are feet but they are multistory barges, they're ocean going barges and they are substantial units. We've got lots of headroom there. The real problem at Gunderson this quarter was volume and they just didn't hit the overhead absorption and it was disappointing according to our plan. So you walked through that facility and you've been through it a number of times and you know what it's capable of and you know what it was operating at this past quarter.
J. B. Groh: Right. Okay. Thank you.
William A. Furman: Thank you.
Operator: Allison Poliniak, Wells Fargo, your line is now open.
Allison Poliniak-Cusic: Hi. Good morning. Just Bill your comments were interesting about turn away customers at this time with certain car types. I know in the typical beginning of a cycle, pricing obviously is a bit lower and it kind of moves up as we go through. Does you think this changes the dynamic as we enter sort of a new freight car cycle in terms of how you're going to be pricing and so forth as we go forward in terms of starting at a higher level right now?
William A. Furman: Yes, I do and the reason is that as you all know there has been a lag in the general freight car business, even intermodal has been through tremendous doldrums. There has been a lag over – about 60% of the industry backlog has been tanks and a lot of the rest in energy like sand cars. Now we're seeing broad based demand and while we have been very aggressive in the past and we're best equipped to do for its products, the pricing and the inconsistency coming out of some of the major customers have caused us to be really tough about it accepting those orders that you know what really are lower margins and there's a real risk that some of these customers who are taking for granted what's been true in the last couple of years are going to squeezed out entirely. And I'm not going to say who they are but you know enough about the business, Allison, to probably imagine who I'm talking about. So we are really getting tough on pricing, we have to because our margins reflect a diverse base and a diverse strategy which we think serves the company well in the longer run. If we do nothing but tank cars as others have chosen to do or energy cars, we think in the longer run we're going to miss this opportunity for really good margins on a building base of business in more diversified movements into automotive, movements into other markets will serve us well in that regard.
Allison Poliniak-Cusic: Sure. And then just on the tank car, the retrofit side of it, it seems like an elusive kind of concept in number and folks are trying to get their hands around it. I mean any color in terms of what you think industry capacity as it sounds like a ton of people are trying to add capacity on retrofits sort of timeframe, it sounds like we might hear something by maybe end of this year of when we could start to see that move forward a little bit or at least have a little more clarity on it?
William A. Furman: Well, if you listened to the Canadian government they're talking about phasing out all DOT-111 cars in hazardous service, that's 155,000 cars and anything in oil and ethanol in three years unless they're retrofitted to a very high standard. This would be a typical thing for shippers and for the industry. But it's an index of how the trend is going towards safety. Now that's the place where they had 47 people and they all had names, they're not fatalities. These are individual lives that were lost in Canada. And I think the U.S. is going to be hard-pressed not to take into consideration in the – and the rationalization of the Canadian and U.S. lost because these have to be moving back and forth between Canada and the United States the Canadian view. So it seems to me that the issue really will be is this going to get tilted all toward new car replacement and they're simply going to throw all of these older cars under the bus. Well, I would hope not because there's a lot of value in there and these cars could be made safer at any speed. So, we're advocating for a sensible strategy to address the higher risk fixes that could be done in an economic price. I think there is going to be a lot of opportunity in this area, but even if there is not the higher velocity traffic in crude by rail and the corrosive nature of some of the products that are getting carried is going to require a lot more repair and attention to the infrastructure support of tank car. So I'm bullish of that market as well. I don't think it depends entirely on the U.S. government. I think the big shippers who are shipping chemicals and energy while they're struggling with the issue today and they really don't like making a change and those folks who had a lot of legacy cars in their fleet, they don't care for this. If we don't do it, how are we going to keep this energy boom and this energy renaissance in America alive? The railroads cannot run these cars and threaten their whole franchise, they need more robust cars. And it's simply a fact that this is going to occur. And the debate about it whether the government is going to act or not going to act or when are they going to act really doesn't matter because it's the fact of where we're going to be because the railroads themselves are providing that leadership and they have the ability to act unilaterally as we've seen in 2011.
Allison Poliniak-Cusic: That's great. Thank you.
Operator: Bascome Majors, Susquehanna Bank, you're line is open.
Bascome Majors: Yes, thanks for the time this morning, guys. With the footprint adjustments that you guys are putting capital towards over the next several months and into next year, particularly with the lease facility you're replacing in Mexico, can you remind us how much that lease is costing you per quarter today?
William A. Furman: I think we published that, haven't we Mark? May we have?
Mark J. Rittenbaum: We have not. What I think we more think about in terms of when we're fully ramped up at our new facility as well as moving some of this capacity over to existing facilities that we can really – the efficiency gains can be in the thousands of dollars per railcar depending on which facility and which car type.
Bascome Majors: Okay. And then that leads into my next question was how much is capitalizing an operating lease and how much of your efficiency is related to production efficiencies and just better railroad cost leverage on new cars? It sounds like you're leaning towards the latter there as far as the opportunity or…?
Mark J. Rittenbaum: There was no capitalization aspect of this at all. I can see it's just basically operating efficiencies. The lease is expensive. The long-term relationship we've had with Bombardier, they give the space and the lease is costly and the labor is costly.
Bascome Majors: Directionally, can you help us perhaps bridge the gap between – I mean now that you're already at least recently operating it historically some of your highest margins and the manufacturing business, how great is the opportunity from this particular facility?
Mark J. Rittenbaum: Just to may be correct or understand your statement about operating at our historically highest margin levels, we have operated at much higher levels than we're at today and we would expect that in the future that we would remember there's a lot of forces here including intermodal is still at very low levels of production. In the past we built as many as [thousands] (ph) double stack cars a year and we're operating at a fraction of that volume today as an example. So, I want to just clarify that. And if you're talking about – it was the second part of your question, Bascome, about what the new facility and manufacturing footprint change can mean to us?
Bascome Majors: Yes, I'm just trying to understand – walk us through the timing of those changes and when we should start to see margin performance stair step along with that based on your guys plan?
Lorie L. Leeson: Bascome, this is Lorie. We're going to be transitioning out of the Bombardier facility after the end of this fiscal year, so that would probably be start happening in September to be out of there by the end of the first quarter. The new facility obviously we'll be working on that this fiscal year, but as you've seen over the last several years ramping up these lines does take a little bit of time. So it will probably take I would say to early calendar 2015 before we're up to – what we would consider a good rate on the line at the new facility. I think as Mark mentioned earlier, per unit, this could be in the thousands of dollars per unit of lower cost, so you can convert that into additional margins and on a single line basis I think a good ballpark is about 2,000 units a year. So you can go through the math as to what that would do to our margins on an annual basis once we get up to the steady phase.
William A. Furman: Yes. And we have to be careful Bascome to remember we have a complex of manufacturing businesses in Mexico. We're talking about the new plant that would replace the Bombardier plant. We are not going to miss a beat on production because we're using GIMSA's line – we have two covered hopper car lines there. We've got capacity to augment any volume issues as we transfer over. There's a lot of execution challenges in the Sahagun complex because we're going to shut down a plant, start up a different line at plant 2 and then we're going to have this adjacent facility. And then we're also going to increase capacity for tanks at GIMSA. GIMSA is performing very, very well. We met our volume targets, we exceeding them, so we would see the timing of tank car production in the early part of our – beginning to ramp up in the early part of our 2015 period. These are bolt-on, very efficient additions of capital and I think you got to look at the total. So you're getting a contribution from replacement of the one complex around Sahagun and then you're getting additional margin and volume from tanks also at GIMSA in early 2015.
Bascome Majors: I appreciate the granularity on that, guys. Thank you.
William A. Furman: Thank you.
Operator: Sal Vitale, Sterne Agee, your line is open.
Salvatore Vitale: Good morning, gentlemen. Just a quick question, so just a clarification on the CapEx please. So I think your prior CapEx forecast for the full year was about $80 million and now it's a $100 million, so that $20 million increase, is that all for the new facility that replaces the Bombardier facility?
Mark J. Rittenbaum: No, it's not. It is – because part of the CapEx that we talked about for both expanding tank car capacity and for our new facility will spill over into 2015. All that increase is related to manufacturing but it's the various pieces that we talked about of a tank car expansion and the new facility.
William A. Furman: So there's no confusion about the earlier question, Mark had 25 million which was the question about tanks, there's additional CapEx between 2014 and 2015 melded that would be general purpose for the Sahagun facilities. So we don't want that to be confused.
Salvatore Vitale: Okay. So then just touching upon the tank car capacity expansion, so you're currently at about 16 cars per day which is about 4,000 cars per day, is that your current capacity?
Mark J. Rittenbaum: Yes.
Salvatore Vitale: And so if I read the release correctly you plan to expand your tank car capacity, basically double it say within the next 18 months. Is that correct?
Mark J. Rittenbaum: Yes. We would be slightly under doubling it rather than 8,000 somewhere in the range of – in the mid 7,000 range depending on whether the cars are heavier cars, pressure vessel cars which are not to be confused with the car of the future and oil cars, but if we do pressure vessel cars as we've been doing for many, many years in Europe that would affect the number of actual units but the price would be higher. So the pricing is probably more homogenous than the number of units. But it's directionally exactly what you're talking about.
Salvatore Vitale: Okay, understood. So then just on that topic, so if I exclude the CapEx that's related to replacing the capacity on the lease facility, how much total CapEx relates to this expansion of tank car capacity when all is said and done?
Lorie L. Leeson: Sal, maybe if I can just take it – you guys will see this on the 10-Q that gets filed later today, but of the 100 million of gross CapEx that we're guiding to for fiscal '14, 80 of that is going to be in manufacturing, 10 is Wheel, Repair and Parts which I don't think is a change from prior guidance and about 10 is in Leasing and Services which again is also not a change from prior guidance. So, the increase in our gross CapEx is coming off from manufacturing but it is going to be, as Mark said and Bill has commented, it's the combination of the new capacity that's coming on line to replace the existing lease facility as well as changes to some of our existing locations, some of which will happen in 2014, some of which will happen in 2015.
William A. Furman: Right. And so just to simplify all, if you look at tank cars as the highest margin car, GIMSA has really improved hitting its stride, even doing better than would expected at this stage. Concarril has had some issues with line changeovers and moving parts but both of these are very strongly ahead of their plan. If we add another – we double tank our capacity, we will have (indiscernible) margin and revenue and profit increase in 2015. Now, what is the trick about this? The trick is do we believe the demand will be there, yes or no? If you believe it's there, this should be a very high ROIC. Obviously we believe it's going to be there and we believe it's going to be sustained over most of the rest of this decade. If you don't believe that then you would have a different perspective on this decision that we're making. Nonetheless, these are relatively low cost for doubling our capacity because the bolt-on and I think we are going to very, very well in tank cars indeed.
Salvatore Vitale: Okay, that's helpful. Then the next question I have is on the capital structure side. Given the free cash flow that you're generating which is very attractive, how do we think about your plans to either increase your share – your pace of buyback or initiate a dividend? Which way are you leaning on that?
William A. Furman: We are looking at a balanced approach to using the cash. First of all, there is a lot of organic growth that we're capable of particularly with this energy renaissance. There is a lot of knock-on products that are coming down the road that are right in their space. Efficiency improvements; if you can get a 30% ROIC as we expect in the expansion of bolt-on facilities in Mexico and in the case of Gunderson through robotics, we think we should be doing that all day long and think that that's a really good opportunity for shareholders. We also think we will have surplus cash and we'll look at stock buybacks and dividends and other things assuming all of this plays out the way our forecast as we're telegraphing here do play out. We're going to be throwing off an awful lot of cash right now. We have leasing properly leveraged exactly where it should be, it's very profitable on a return on equity base and we're going to have capability with a partial year's cash flow to pay off the rest of the debt on the entire company. So this is really an interesting cash – the use of cash and use of liquidity. What do we do with it? Great question. We're looking at all of the usual things, but I think organic we're improving efficiency; margins, margins, margins through better pricing as we take advantage of this outlook and reinvesting in robotics even in Mexico. These are all exciting things we can do.
Salvatore Vitale: Okay, thank you. That's very helpful. The last question I have is on the marine side, so you talked about what the revenue was for the first half of the year roughly. Should we expect the second half to be about the same or a little higher maybe?
Lorie L. Leeson: I would guess a little bit higher but not tremendously higher, Sal.
Salvatore Vitale: Right, okay. And then the $70 million of backlog that's all deliverable in fiscal '15?
Lorie L. Leeson: I think what we've indicated when we did the Kirby press release is that barge would start in June, so the bulk of it would be – some of it would be in the fourth fiscal quarter of this year but the bulk of it in fiscal '15. The additional barges that we've received orders on would most likely be in this fiscal year.
Salvatore Vitale: Okay. And the Kirby barge, that's percentage of completion accounting?
Lorie L. Leeson: Yes, they all are.
Salvatore Vitale: Okay. Thank you.
Lorie L. Leeson: Thank you.
Operator: Our last question comes from Tom Albrecht, BB&T. Your line is open.
Thomas Albrecht: Hi. Good morning, everyone. A lot of ground was covered there. So I realize we're only halfway through fiscal '14 but undoubtedly you've got to be thinking about some margin goals and production targets for fiscal '15. Can you give us a sense of it, maybe at least on the production side whether you would expect that to be greyer than the 15,000 plus for fiscal '14?
William A. Furman: You're very naughty Tom. You know he doesn't like to talk about '15 yet, but he's an awfully cautious guy isn't he.
Mark J. Rittenbaum: So if I stay quiet, they will probably answer the question for me.
Thomas Albrecht: Well, the only thing is I did ask and you don't want me to make up answers.
William A. Furman: You may be getting (indiscernible) here. So we really haven't given '15 guidance yet. He's saying we have the information, he doesn't want to tell you. I don't know why he doesn't want to talk, but he won't talk to you.
Lorie L. Leeson: You can appreciate Tom we've been making quite a few changes over the last quarter to be able to come out with a guidance that we're talking about with these changes in manufacturing footprint, so while we do have some ideas about what '15 is going to look like, it's not at a point where we're ready to give that firm guidance. And again, we don't think that 2014 is the peak of the cycle, we think that there's a lot of legs yet to run. Again, we've got great backlog that gives us good visibility, so we feel really good about where we are on the orders and production side. Again, the things that we've done on the balance sheet with liquidity that Mark was talking about, we think all of these things put us in a great position for many, many quarters to come.
Mark J. Rittenbaum: Tom, I've learned a long time ago that you got to be optimistic in life. I'm really optimistic and this is not as good as it gets at all in 2015.
Thomas Albrecht: Well, I'm sharing a view. I just wanted to have an educated view there, but as we kind of wrap up the discussion though, there was a lot of discussion about Mexico and I was writing things down comparing it to former notes, so I'm just going to break this down real simply. So Mexico, how many lines do you have and how many will you have within a quarter or two and how many are dedicated to tank versus other cars? It was such a kind of broken up discussion trying to bring that all back together, I want to just see the clarity in Mexico?
Lorie L. Leeson: Let me just take the easy part first. Right now for tank cars, we're running two production lines. With the things that we've talked about, we expect that to come to four tank car lines. That will not necessarily be a doubling of the output depending on the mix of the kind of tank cars that we're building just like with general freight railcars, different cars take different amounts of time, but that's what we get to the near doubling on the tank car side. Then we have probably five other production lines that are running right now and we expect we would – with these changes with tank cars that would probably shift to about somewhere between four and six. Again, it depends on the product that we're doing because the automotive cars, the racks and the flats they take up extra production space. So I think maybe a separate way to think about this, we've talked before about our theoretic capacity in North America once we got to 16 units a day on the existing tank car lines would be somewhere in the neighborhood of 20,000 on an annual basis. I think that theoretic capacity is closer to – we're growing that by 1,000 to 2,000 units.
Thomas Albrecht: Okay, all right. And so then in terms of number of plants in Mexico; two in Sahagun and then the GIMSA JV, was there a fourth plant or was that just a bolt-on line? I got a little confused there early in the conversation.
Lorie L. Leeson: That's very understandable. No. So right now we're working at two facilities in Sahagun, one of those being the lease facility the other being an owned. We'll be transitioning out of that lease facility into a wholly-owned facility. There may be adjacent property that feeds components into each of those production lines, but it really wouldn't be additional full production lines.
Thomas Albrecht: Okay. And so that leased facility that was the Bombardier situation, right?
Lorie L. Leeson: I'm sorry, Tom. I missed your question.
Thomas Albrecht: So on the leased facility, was that in conjunction with Bombardier, was that the one you're exiting by November?
Lorie L. Leeson: Yes.
Thomas Albrecht: Okay. All right, I think that clarifies everything then.
Lorie L. Leeson: We can follow-up a little bit in more detail after this call.
Thomas Albrecht: Okay, I'm scheduled. I might have one or two small ones.
Lorie L. Leeson: Okay.
Thomas Albrecht: All right, thank you.
Lorie L. Leeson: Thank you.
William A. Furman: Thanks Tom.
Lorie L. Leeson: Thank you, everyone, for your interest in Greenbrier and participating in our call today. If you have any further questions, we'll be happy to chat with you following this call.
William A. Furman: Thanks. Have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may disconnect at this time.